Operator: Good afternoon, ladies and gentlemen and welcome to the Acceleron, First Quarter 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference call is being recorded.I would now like to hand the call over to Mr. Todd James, Senior Vice President, Corporate Affairs and Investor Relations at Acceleron. Please go ahead.
Todd James: Thanks and welcome everyone to our first quarter 2020 earnings call. The press release reporting our financial results, in addition to the presentation for today’s webcast are available on the Investors & Media page of our corporate website at www.acceleronpharma.com.Joining me on the call this afternoon are Habib Dable, our Chief Executive Officer; Kevin McLaughlin, our Chief Financial Officer; Dr. Jay Backstrom, our Head of Research & Development; Sujay Kango, our Chief Commercial Officer.As a reminder, we will be making forward-looking statements regarding our financial outlook. In addition to regulatory, product development and commercialization plans and research activities, these statements are subject to risks and uncertainties that may cause actual results to materially differ from those forecasted. A description of these risks can be found in our most recent Form 10-Q and 10-K on file with the SEC.With that, I would now like to turn the call over to Habib Dable, our CEO.
Habib Dable: Thank you, Todd. Good afternoon everyone and thank you for joining us today. Before we get started, I wanted to take a moment to address the COVID-19 pandemic that is affecting all of us. First and foremost, our hearts go out to everyone who has been directly impacted. And to the healthcare and other workers who are on the frontline, we thank you for your selflessness to help keep us all safe.As the situation continues to evolve, we have been moving quickly to protect and support our employees and the patients that we serve. In early March, we implemented a work-from-home policy and successfully transitioned to virtual, external stakeholder engagement.We continue to advance business critical, laboratory manufacturing and related support activities as a responsible essential business, while taking the appropriate measures to minimize risk and ensure the safety of the limited number of employees who are still coming into our facility.Although it's too early to tell how impactful this pandemic will ultimately be, at present we have been fortunate to experience minimal effect on our business and operation.This is in a large part due to the foresight, commitment and flexibility of the entire Acceleron team. Over the coming weeks and months we will continue to monitor the situation carefully and follow guidance from local and federal health authorities.Despite some adjustments to our day-to-day operations necessitated by the current environment, we continue to make strong progress on the clinical and regulatory front. About one month ago, the FDA approved REBLOZYL, also known as luspatercept for its second indication, the treatment of anemia failing an erythropoiesis stimulating agent requiring two or more red blood cell units over eight weeks in adult patients with very low-to intermediate risk myelodysplastic syndrome with ring sideroblasts or with myelodysplastic/myeloproliferative neoplasm with ring sideroblasts and thrombocytosis.REBLOZYL was first approved in November for the treatment of anemia in adult patients with beta-thalassemia, who require regular red blood cell transfusions, becoming the first and only approved erythroid maturation agent. Acceleron discovered REBLOZYL just over a decade ago and as you can imagine, these approvals mark a proud moment for our team and our long time partnership with Celgene and now Bristol-Myers Squibb. More important, they are huge victories for the thousands of patients with MDS and beta-thalassemia, who until now had been waiting for a new option to treat their anemia.Outside of the U.S., the Committee for Medicinal Products for Human Use of the European Medicines Agency recently issued a positive opinion on REBLOZYL recommending its approval for the treatment of transfusion-dependent anemia in adult patients with lower risk MDS and beta-thalassemia. We expect the EMAs decision on the marketing authorization application for REBLOZYL in the second half of this year.I'd like to recognize the joint development team that Acceleron and Bristol Myers Squibb on their continued achievement. In the first quarter, results from both the pivotal Phase 3 MEDALIST and BELIEVE trials were published in the New England Journal of Medicine. These publications were Acceleron’s first in this prestigious peer reviewed journal.Moving to REBLOZYL commercial launch, our field team is hard at work alongside our partner Bristol Myers Squibb, targeting the top healthcare providers and centers of excellence throughout the U.S. The first five months of commercial sales have been encouraging. We recognized approximately $1.5 million in royalty revenue and net REBLOZYL sales of approximately $8 million for the first quarter of 2020.Importantly, we are experiencing new and repeat orders for medical centers across the country, which has continued with the recent launch and the MDS indication to-date. The current public health environment does introduce certain challenges that we continue to monitor, including patients and the potential caregivers ability to manage the regular physician appointment and our field team’s transition to a virtual sales model as of mid-March.As we look toward our long term vision for REBLOZYL, we believe it’s novel mechanism of late stage erythroid maturation could enable it to become a possible platform treatment for thousands of patients suffering from anemia caused by a variety of hematologic diseases.To that end, in partnership with BMS we are presently conducting two additional trials and preparing for a third, called the independent trial. This pivotal Phase 3 trial will evaluate luspatercept for the treatment of anemia in patients with myelofibrosis who are on a JAK-2 inhibitor and require red blood cell transfusions.Between now and the end of 2022, we anticipate a steady flow of topline results from the BEYOND study in non-transfusion dependent beta-thalassemia and the COMMANDS study in the frontline line lower risk MDS and we also continue to evaluate additional disease areas in support of our vision for luspatercept as a true platform treatment for anemia.While REBLOZYL remains a top priority, we are equally excited by the progress we're making in pulmonary disease. In January we're absolutely thrilled to announce positive topline results in the PULSAR Phase 2 trial in Pulmonary Arterial Hypertension or PAH. We believe these data demonstrate luspatercept’s ability to potentially reshape the treatment paradigm for patients with this devastating disease on top of currently available therapies.Most recently luspatercept was granted Breakthrough Therapy Designation by the FDA and Priority Medicines Designation by the EMA, up first an Acceleron discovered medicine and for a therapeutic candidate in PAH. These designations allow for more regular interactions with the agencies and additional access to senior division members, along with expedited application filing and application review period, following pivotal Phase 3 trial results.We look forward to engaging in end of Phase 2 discussions with the Global Health Authorities by the middle of this year as we work to finalize our Phase 3 development plan in the second half. We currently expect to initiate a pivotal Phase 3 trial globally at the end of this year or early 2021.Following the cancellation of the in-person American Thoracic Society 2020 International Conference due to COVID-19 pandemic, ATS is now planning to host certain sessions virtually. The web-based session including the detailed presentation of top-line results from the PULSAR Phase 2 trial is now expected to take place before the end of June.We will provide more information on timing and how to access the presentation as soon as it becomes available. Acceleron will host a separate webcast presentation for investors and analysts following the session. We hope that many of you will be able to join the call.And with that, Kevin McLaughlin, our CFO will review the financials. Kevin.
Kevin McLaughlin: Thanks Habib. Good afternoon everyone. I would like to refer to our press release issued earlier today for a summary of our financial results for the first quarter 2020 and take this opportunity to briefly review a few items.We ended the first quarter with approximately $415.6 million in cash, cash equivalents and investments. Revenue for the first quarter of 2020 was $4.3 million, which includes $2.8 million of cost share revenue and has Habib mentioned earlier, approximately $1.5 million of royalty revenue from net U.S. sales of REBLOZYL of approximately $8 million. All revenue was derived from the company's partnership with Bristol Myers Squibb. The company's net loss for the first quarter ended March 31, 2020 was $50.9 million.And with that, I'd like to open the call to questions. Operator?
Operator: [Operator Instructions] Our first question comes from a line of Martin Auster from Credit Suisse. Your line is now open.
Mark Connolly: Hi everyone. This is Mark on for Marty. Congratulations on the progress and thanks for taking my question.My question was, for SPECTRA has there been any impact on data-collection and patient dosing due to COVID-19 and if so, how much flexibility is there built into the protocol. Thank you.
Habib Dable: Yeah, hey Mark, thanks for your question. Maybe I'll pass that over to our Head of R&D Jay Backstrom to address.
Jay Backstrom: Yes hi. So we've been working very carefully with the sites to really allow them to continue to have access to the patient dosing. You know both FDA and EMA have issued guidance in the context of the pandemic. For a management under GCP we’re very much compliant and on top of that. Fortunate to say, so-far our patients have been able to still access medicine without having a risk of really being denied treatment. So so-far the dosing has been fine.
Mark Connolly: Okay, perfect! Thanks for taking my question.
Habib Dable: Yeah, thanks Mark.
Operator: Thank you. Our next question comes from a line of Yaron Werber from Cowen. Your line is now open.
Yaron Werber: Yeah, hi team and great to see such a strong number on revenue growth. So my questions have to do with, do you have any sense, how much of it is demand and was there any sort of traditional inventory kind of pull-in at such an early stage in the launch. And do you have any sense how much of sales were unable versus potentially early adoption into MDS or NF [ph] sort of you know for anemia more broadly.
Habib Dable: Yeah, thanks for you question here Yaron and I can tell you on the Acceleron end of things, we are – ultimately we are very, very pleased with the first quarter sale. Just to remind everyone, that first quarter represented sales for our first indication in adult beta-thalassemia patients requiring regular red blood cell transfusions in the U.S. alone. And so we are very much looking forward to building upon that now with the MDS being approved in the second quarter and just again, I’ll start it off and I’ll pass it over to Sujay, our Chief Commercial Officer to add some color.But just to remind everyone, the method of deliveries here is really a drop shipment and so not a lot, not a lot in terms of typical inventory build-up Yaron in terms of the first part of your question. But I‘ll pass it on over to Sujay to add a little bit more color.
Sujay Kango: Thanks Habib and Yaron, thanks for that question. So as Habib said right, so the way BMS and we’ve created a distribution model is the order is connected to the wholesalers and we directly ship it to the account.Plus, if you recognize that this is more of a buy-and-build Medicare Part B product, so the likely situation in the traditional model where the wholesalers hold inventory and then they send it out doesn’t occur in this, and within 24 hours the product goes to the account. So we don’t anticipate a whole amount of any build-up of inventory at the local physician's office or a hospital level. They usually order it as soon as they have a patient in mind, they send the orders through, and within 24 hours the vials are shipped to the doctor's office or the hospital.So normally speaking, there wouldn’t be a build-up of inventory, so most of this is almost directly related to a patient that they are starting on treatment within a day or two or so, okay. So thanks a lot for that question Yaron.
Yaron Werber: And just a quick follow-up on, you know launching in the COVID-19 environment is a little bit of a double edged sword. This is certainly a tough environment to sort of start detailing a new product, but this is a product that people have known about and we've also been hearing that there's some supply issues on blood thinners. So can you tell me what – can you tell us what feedback you're hearing so far? Thank you.
Habib Dable: You can continue.
Sujay Kango: Sure, perfect. So Yaron, you raised a question whereby there is an opportunity as you're pointing out to. So we’ve heard from the purposes of you know the blood supply is a challenge, because many donors have a challenge going in and the donor supply has come down a bit. So with that, there is an opportunity with regards to REBLOZYL as you pointed out, because we do offer transfusion independence for the right patients with MDS. So that's an opportunity, because it squarely in line with the benefits that you do provide.On the flip side of the equation, we do also know based on our assessments that there are new patients or actual patients for hematology going into the centers, that has come down, right. So it’s a balancing aspect of it, while the early launch metrics are very good and we are very encouraged. We have to wait and see over a period of time, what is the overall net, net effect of this, but we are very encouraged with the early start of the product through launch, as well as virtual detailing, because we are doing that. Including speaker programs, we do also have those outlined and we've already started to execute those. So more to come in the second quarter as we monitor this. Okay.
Habib Dable: And Yaron, this is Habib and just to complement with Sujay’s saying, you need to remember, this is community whose been – had the opportunity to benefit from the publication in the New England Journal of Medicine. As I mentioned earlier, we were simply thrilled to be able to be accepted in the publication and so awareness levels as a result of that significantly increased.And again, there hasn’t been anything new in this space in over a decade and therefore the opportunity for us to get our messages out there to a market that's been waiting for something new, to provide this was a wonderful opportunity to increase share price.
Operator: Thank you. Our next question comes from the line of Geoffrey Porges from SVB Leerink. Your line is now open.
Geoffrey Porges: Hi, I just wanted to follow-up questions about REBLOZYL. Can you just give us a sense of, obviously the ATSs presentation is pushed back a little bit. What's the latest timing on your meeting with the FDA and what's your latest thinking on the possibility of firing directly with this data? And lastly you highlighted a cash balance Kevin, do you expect that your cash reserves is sufficient to some pivotal trails, assuming that requires Sotatercept? Thanks.
Habib Dable: So hey Geoff, this is Habib. Thanks for your questions. Regarding the first question on ATS, you are right. The live conference would have been happening in a few days and unfortunately like many and all other conferences actually that it has been canceled and what ATS has done is they moved to a virtual format. We are currently working with them and we feel very confident that we will be leveraging that conference for our presentation before the end of June in a virtual format. So you can expect that from a data point of view.With respect to you know your question regarding the opportunity in terms of filing directly and interactions that we’ve had with the FDA and other health authorities, a couple of things. One, what we’ve said is that by the middle of this year our goal is to have those interactions with the health authorities, the various health authorities and to be able to get back with you shortly after that, you know Q3 timeframe, maybe Q4, but on the Q3 timeframe and being able to share with you our thinking based on those conversations and the invites that we received on what a Phase 3 trial would look like.Now – and I’ll ask Jay if he’d like to add a little bit more color on that. But in terms of your question, just to finish on the question regarding the ability to file directly, I'd like to remind everybody, the PULSAR study has been designed and powered as a proof of concept study and we're simply thrilled with the fact that we were able to hit statistical significance on the primary endpoint as well as our secondaries.But at the same time I do want to remind everyone that the primary endpoint was Pulmonary Vascular Resistance and we all know that that is an important hemodynamic endpoint, but at the same its equally important for us to be able to identify a key secondary endpoints such as a 6 minute walk distance, which would be very important for us as we think about designing our registrational studies in terms of having some sort of a functional benefits for example.So I've heard the conversations and the chatter regarding the ability to file on this data. I think if you look at past precedence that would not be the case. I think we have the added benefit of having a time designation, as well as Breakthrough Therapy Designation with the FDA. I mean, that gives us a tremendous opportunity to benefit from frequent, senior level counsel as we think about designing our pivotal studies for Phase 3 and we are very much looking forward to engaging with the regulatory bodies in that regard. And if and when we have that, all of that lined up in the third quarter or perhaps early in the fourth quarter, we’ll be coming to you with that registration of study design as soon as we can.Regarding the dollar, in terms of the ability to fund, its presumptuous right now to think about what we would have in terms of needs and cash needs to run our pivotal studies. I'll tell you right now though, our goal is to move forward with the global registrational studies independently and based on the conversations that we will have and the funding requirements for the studies I can – I feel very confident that we're going to raise – need to raise more money to be able to fund those Phase 3 studies on our own.Kevin, Jay, would you like to add anything to that, if there's anything that I missed.
Jay Backstrom: Hi, this is Jay. I think you summed it up really well from the clinical regulatory front. We're certainly on track to stay on time with our interactions with the agency and you know, we said previously we are really planning and prepared to execute a Phase 3 study, so we’re in that planning process and more to come after we engage with the health authority.
Kevin McManus: Yes, and this is Kevin and Geoff, thanks for the question. I think that you know we had the first quarter, about $415 million in cash, and as Habib said we are pleased with that, but we are always looking forward to the future and what our cash needs will be. You know first, certainly the focus for us will be continued work in the research department, as well as our focus on the sotatercept program going forward from a study standpoint, from manufacturing preparation standpoint and obviously from a market development standpoint.
Geoffrey Porges: Great! Thanks very much for the answers guys. I appreciate it.
Habib Dable: Thanks for your questions Geoff.
Operator: Thank you. Our next question comes from the line of Carter Gould from Barclays. Your line is now open.
Carter Gould: Great! Good afternoon and I offer my congrats on the MDS approval. I guess maybe just a follow-on on the previous question. Just in terms of sort of sensitivities around being able to start the PAH study later this year, can you maybe just give a little bit more detail. I mean obviously you got to wait for the design to kind of be released, but when we think about other additional gating steps, can you maybe just go into a little bit more color there? I think at least Kevin just mention manufacturing, any additional color there would be helpful in terms of where you stand and other kind of gating steps.And then maybe, I guess my reach question. You seem to be kind of characterizing the Phase 3 program as a single study. Should we think about when that gets disclosed around a single pivotal study or could we get greater detail on the broader kind of clinical program. Thank you.
Habib Dable: Yeah, thanks for your questions Carter. I’ll start off with the last question. If you came across as a single study or being presumptuous, well that’s absolutely not the case. We are not ready to say that at all until we’ve had those proper conversations with the health authorities. But in terms of our thinking and some of the gaiting strategies etcetera, I’ll hand that over to Jay to elaborate on how we're thinking about that at this point.
Jay Backstrom: Yes, I think you know the key thing is actually to engage with authorizes and get agreement on the trial designs, and I think what Habib said earlier, we're really fortunate with Breakthrough Therapy designation and the PRIME designation. It really affords us the opportunity to effectively engage and that's our plan.You know I mentioned earlier, study startup, there is a lot of steps behind that. Many of these we can take even in advance of the protocol, but essentially really getting that protocol up ready and agreed by health authorities are the protocols (we’re working on a full development plan).As we get that forward, you know I think we're going to be geared to go. We've been really fortunate that we've run a multicenter trial with the top experts, all of whom are obviously enthusiastic about the program given the results. So we're leveraged significantly as we think about starting up a Phase 3 you know and the timing that we had envisioned, I think even at the beginning was to get something ready by the end of the year.So, so-far I mean everything is really aligning against that. We’ll have obviously much more detail when we’ve completed our health authority interactions, and frankly all of us are looking forward to sharing those plans with you. But it would be premature prior to the health authority feedback.
Operator: Thank you. Our next question comes from a line of Eric Joseph from JP Morgan. Your line is now open.
Eric Joseph: Hi, good afternoon guys. Thanks for taking the questions. Just a couple of REBLOZYL and beta-thalassemia. The first is, if you could just remind us about the split in coverage in that, a split in reimbursement in that segment, whether you anticipate any change in that mix as a result of a weakening economy potentially here.And then secondly, I’m wondering if you could provide us with an update on - an enrolment update in the pediatric Phase 2 trial. What sort of positive date would look like in that study and just generally how should we think about the incremental commercial opportunity in the pediatric segment, relative to the current adult transfusion dependent label. Thanks.
Habib Dable: Okay, yeah thanks for your questions Eric. So for the first question regarding the access split, I’ll ask Sujay to address them and maybe he can pass it on to Jay and talk a little bit about where we are with the pediatric indications.
Sujay Kango: Thanks Eric for the questions, I’m Sujay. So in the beta-thalassemia segment as you asked, largely give the age group of these are young adjusts, most of these patients are going to be on the commercial pay side of the equation. So that’s going to be on the commercial, about 70% or so we believe we are going to be setting out. We've always anticipated about 30% or so of patients would be covered under government pay, and that could be a combination of Medicare, Medicaid etcetera, so that’s how we see the business for the beta-thalassemia side of the equation.Largely speaking, if you put it into context Eric, right, if I could just put one more color over there, the MDS opportunity is a lot larger as you know, 1,000 to 1,500 patients with beta-thalassemia versus you know approximately 30,000-odd in relation to MDS, it's a magnitude difference, and over there a larger proportion is just the opposite of going to be on the Medicare side of the equation, but 70% of MDS patients are going to be mostly covered under Medicare side of the business versus 30% on the commercial pay.So it gives you a context that net-net as the MDS side of the business comes into line, the ratios are going to significantly switch over to the Medicare pay worse it's a commercial pay. And hopefully that answers you question. And Jay, if you want to the cover pediatric side of the question?
Jay Backstrom: Yeah certainly, and for the pediatric, you know we are running a pediatric plan that’s been approved, PIP as it's referred to in Europe. And those – as is typical of those designs, those are often cohort designs, so you pick an age group and then you go down to an earlier and earlier age group. So its early days for the pediatric plan now to be thinking about where we are with that program, very early days.
Habib Dable: And in terms of the opportunity Eric, we estimate that it’s about three or four to one adults to pediatric in terms of the beta-thalassemia population, so the majority is in the adult. [Cross Talk] At least in developed countries where we got the good data, yeah.
Eric Joseph: Got it, got it, alright great. Thanks for taking the questions guys.
Habib Dable: Yeah, thanks Eric.
Operator: Thank you. Our next question comes from the line of Yigal Nochomovitz from Citi your line is now open.
Samantha Semenkow: Hi! This is Samantha on for Yigal. Thanks very much for taking our questions. Just on the ATS presentation, how much lead time are we going to get to know when the presentation is coming. Is it going to be in a press release that morning or are you going to get one to two weeks advance prior to – as in ATS is going to announce that the presentation is happening within that timeframe.
Habib Dable: Thanks for your question Samantha. I’m going to pass it over to Todd, Head of Corporate Affairs to address that, if you would Todd.
Todd James: Hi Samantha! Yes, thanks for your question. Yes, so a little bit out of our control in the hands of ATS when they are going to outline the schedule for the session. But we would expect it to at least be a few weeks in advance of the actual session to give some people, some lead time to open up their schedules.As you could imagine, with the canceling of the in-person event, the congress would like to give their stakeholders enough time to be able to clear up their schedules, to then be able to participate in this virtual event. So you can expect a decent amount of time in advance. Thanks.
Samantha Semenkow: Okay, thank you. And then, can we ask if the presentation will have a break out of the data by the number of background therapies, you know here to say background therapies position the patients from.
Habib Dable: So with effect to the presentation we’ll have to wait for that, but what we said already is that this is a very heavily pre-treated population, where over 50% of the patients that were recruited into the PULSAR study we're actually on triplet vasodilatory therapy, including prostacyclin.
Samantha Semenkow: Okay, got it. And then I guess just one more luspatercept. Are there any additional indications where you are expecting to start development, especially now that you see this development of Phase 3 and your next stage pipeline appears pretty open for maybe another indication that could start developing. Just curious on any thoughts you have there.
Habib Dable: Yeah, so that's a really good question. So obviously right now our focus is on the PAH and group one pulmonary hypertension. Obviously as we continue to evolve the sotatercept story, there’ll be more to come on where else we can take it. I would like to remind you though that we do have another asset in the pulmonary space that we're investigating. It’s an healthy volunteer study, ACE-1334. We announced that at the JP Morgan conference earlier this year. More to come on that as that program evolves.You’ll see in 2021 you can expect to hear more about that program and where we're taking it. So we’re feeling really good about our development pipeline and pulmonary and again just finally, we engaged at the end of last year a new collaboration with the company in Cambridge, Fulcrum Therapeutics and leveraging their small molecule approach to modulating gene expression, and we have opportunities that we've locked up with them in the pulmonary space. So we're feeling actually very good about our prospects in pulmonary and the pipeline development.
Samantha Semenkow: Great! Thanks very much for taking the question.
Habib Dable: Yeah, thank you.
Operator: Thank you. Our next question comes from the line of Leland Gershell from Oppenheimer. Your line is now open.
Leland Gershell: Hey, good afternoon, thanks. Actually my questions have already been asked and answered, but thank you again, and congrats on the great products.
Habib Dable: Yeah, thanks Leland.
Operator: Thank you. Our next question comes from the line of Jeffrey Hung from Morgan Stanley. Your line is now open.
Jeffrey Hung: Thanks for taking the question. I guess now that you have a full quarter of sales and perhaps some weeks of sale constitual in MDS. Do you have any updates to your views on how the trajectory will progress over the coming quarters and are you hearing any early feedback in MDS that modifies your views on adoption rates. Thanks.
Habib Dable: Yeah Jeff, thanks for your question. So, first quarter sales of approximately $8 million. It is one that we're very, very happy about. Again just to repeat, that first quarter is in the U.S. only and the beta indication only in terms of adult beta-thalassemia for claim regular red blood cell transfusions.And then now with the second quarter having a full quarter with MDS proved in the United States, looking forward now, as you saw also, we had a positive CHMP opinion, which gives us tremendous confidence for getting – moving forward in an anticipated approval in the second half of this year for Europe, and our enthusiasm for the launch from CJ [ph] previously as well given the number of new accounts, the number of repeat accounts that are prescribing that we continue to feel very optimistic about all of the launch metrics.We haven't given any official guidance, but what I can tell you is that as we continue to launch REBLOZYL in this virtual world, we continue to gain more and more confidence on the traction that we’re gaining.
Jeffrey Hung: Thanks.
Habib Dable: Thanks for your question.
Operator: Thank you. Our next question comes from Paul Choi from Goldman Sachs. Your line is now open.
Paul Choi: Hi, thanks for taking our questions and congratulations on all the progress. My first question is commercial and specifically with regards to your interactions with doctors. I was just wondering if you can maybe comment on whether you know the number of interactions has increased you know since you have the MDS label now, and if you know in your prior discussions with potential prescribers was maybe some of the feedback along the lines of you know, I’m interested, you know but not so much for beta-thal, but you know come back to me when you have MDS.I was just wondering, if you could maybe just comment on the level of activity directionally or if you could quantify that you and your partner have seen since the approval.
Habib Dable: Thanks for your question Paul and I will hand it over to Sujay. But I can tell you absolutely the number of interactions has increased, because in many cases, in the majority of cases this is a different prescriber base. So the overlap between beta-thalassemia prescribers and MDS prescribers is quite limited. But I will hand it over to Sujay to add some color to that.
Sujay Kango: Sure, thanks Habib. So clearly as Habib pointed out, our customer base is a lot larger in the – for the MDS indication. So yes, we have seen more interactions. Now the caveat to that is these are all virtual interactions, right, because we launched this – the indication for MDS almost right on top of the COVID-19 pandemics starting to occur and shelter-in-place orders. So with that kind of a situation, almost all of our interactions are now vertical. So that comes with a little bit of challenge with regards to how – difficult to contrast this particular aspect with the prior of sort of maybe our in-person promotion.Having said that, right off the bat, we’ve seen uptake within large centers of MDS, so we know that there is adoption occurring, which is sort of at the end of the day, that's what you want to see and we are starting to see a lot more of that. And also, we've also seen interest in even virtual speaker programs. We've got also questions about you know how quickly we can get the product to them, all of these questions are coming about from these vertical engagements. I’ve been on several of these engagements and you ask some sort of colored around it.So they are asking us questions with respect to the patient population, the label, the indication that we have and the interest is very strong from these early interactions that I’ve had with physicians which have been with my reps as well as BMS reps, are doing joint calls with our reps as well. So net-net I see a very favorable engagement and interest with REBLOZYL.
Paul Choi: Okay, thank you for that. That's very helpful. My follow up question if I could squeeze one more in place, is just with regard to – I know the PULSAR data is still yet pending here in terms of the presentation, but can you maybe just comment on, do you plan any additional data or longer term follow-up updates over the course of 2020? And then can you, maybe just elaborate on how you're thinking about potentially incorporating it, the data down the road as part of your registrational strategy? Thank you very much and thanks for taking our questions.
Habib Dable: Yeah, thanks Paul. That’s actually a really good question. And just to remind everyone, the PULSAR study had a six month primary endpoint, yet every patient had the opportunity to roll over into an open label extension for an additional 18 months and the placebo arm of that study would get randomized one to one on low dose and high dose Sotatercept.And just to remind everybody once again, when we cut the data and share the top line results of PULSAR at the end of January, there was 97 out of 106 patients who are eligible to roll over into the open label extension, with the first patient being eligible around December of 2018. At the time of cut-off, every single patient that was eligible to rollover was still in the open label extension. So we take a lot of comfort from that statistic alone for multiple reasons.And the answer to your question Paul, yes we do plan to continue to analyze this dataset and there'll be more to come over the course of this year and next year in terms of sharing with you the updates, both from an efficacy and safety point of view. So thank you for your questions.
Operator: Thank you. Our next question comes from the line of Kennen MacKay from RBC Capital Markets. Your line is now open.
Kennen MacKay: Hey, thanks for taking the question. You’ve obviously made tremendous progress with Sotatercept in PAH and really excited for the ATS data. Have you – you mentioned a 6 minute walk test. Is that the secondary endpoint yes see as the most meaningful and secondarily to that, obviously PAH is tremendously exciting. Has this data reignited interest in targeting additional indications with Bristol outside of this pulmonary carve out, something like idiopathic pulmonary hypertension? Thank you.
Habib Dable: Yeah, so thanks for your question Kennen. The reason 6 minute walk distance is highlighted is because it was our key secondary endpoint Kennen. We obviously will have the conversations with the regulators in terms of what the appropriate endpoints would look like moving forward for our pivotal study, but you're seeing is with 6 minute walk distance being highlighted, is just merely the fact that it was our key secondary.Now with respect to Sotatercept and the versatility of Sotatercept, one thing to remind you is again is that our intention with Sotatercept with respect to pulmonary indications is to be able to develop and commercialize it on our own. That is our goal at this point, within pulmonary and pulmonary hypertension.Anything beyond that, obviously we would disclose if those conversations ever occurred at the appropriate time, but right now the focus is really on Group One Pulmonary Hypertension and perhaps opportunity to grow beyond that, but we are very, very fortunate that we are able to carve out the opportunity for Sotatercept in pulmonary hypertension for Acceleron to develop and commercialize on our own.Now with respect to idiopathic pulmonary fibrosis, I mean this is actually a really good question because obviously you're asking – because not only perhaps of the relationship of the TGF-beta superfamily in this particular disease state, but also because of the high-end met need.Now I did mentioned earlier to an earlier question from one of the analysts regarding ACE-1334. ACE-1334 targets specifically TGF-beta 1 and TGF-beta 3. Again, it has fast track designation and we have not talked about and identified that indication, but you can assume it’s going to be an indication that has fibrosis as part of the – within rare pulmonary disease, as being the real contributing factor to the patients unmet need. And so within that group, obviously is idiopathic pulmonary fibrosis, scleroderma, interstitial lung disease, so you make an excellent point, but there could be other solution that could be targeting that area that we’ll be looking at very, very closely. So thanks for your question Kennen
Kennen MacKay: Well, thank you.
Operator: Thank you. At this time I'm showing no further questions. I would like to turn the call back over to Habib Dable for closing remarks.
Habib Dable: Yeah, thank you. So thanks everybody for joining the call today. As you’ve heard, we had a very strong quarter. The fundamentals of our company have never been stronger. We are well positioned for a productive and successful year ahead and as always if you have any additional questions please feel free to reach out to Todd and I'm wishing you all a great safe evening for everybody. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thanks for participating. You may now disconnect.